Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2015 Arch Capital Group Earnings Conference Call. My name is Kathy and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. Before the company gets started with its update, management wants to first remind everyone that certain statement in today’s press release and discussed on this call may constitute forward-looking statements under the Federal Securities Laws. These statements are based upon management’s current assessment and assumptions on a subject to a number of risks and uncertainties. Consequently, actual results may differ materially from those expressed or implied. For more information on the risks and other factors that may affect future performance, investors should review periodic reports that are filed by the company with the SEC from time to time. Additionally, certain statements contained in the call that are not based on historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The company intends the forward-looking statement in the call to be subject to the Safe Harbor created thereby. Management also will make reference to some non-GAAP measures of financial performance. The reconciliation to GAAP and definition of operating income can be found in the company’s current report on Form 8-K furnished to the SEC yesterday, which contains the company’s earnings press release and is available on the company’s website. I would now like to turn the call over to the host for today Mr. Dinos Iordanou and Mr. Mark Lyons.
Dinos Iordanou: Thank you, Kathy and good morning everyone and thank you for joining us today. Over all these years I thought I was the guy with the beautiful accent, but I think Kathy has put me to shame today. We had a good first quarter as earnings were driven by excellent reported underwriting and investment results. Our gross written premium grew by 1.3% in the quarter while our net written premium shrunk by 8.8% as growth in our insurance and mortgage businesses was offset by a decline in our reinsurance writings. Changes in foreign exchange rate reduced our net written premiums on a U.S. dollar basis by approximately $32 million or 3.4% of our volume in the quarter. On an operating basis we earned $1.17 per share which produced an annualized return on equity of 10.2% for the 2015 first quarter versus a 12.1% return in the first quarter of last year. On a net income basis, Arch earned $2.16 per share this quarter, which corresponds to a 15.8% return on equity on a 12 month trailing basis. Return on equity based on net income has averaged approximately 400 basis points higher than operating ROE over the past four years. Of course net income movements can be more volatile as these earnings are influenced by changes in foreign exchange rates and gains and losses in our investment portfolio. These effects have been more noticeable as we have increased our exposure to alternative asset classes and have remained focus on a total return strategy where some components of total return are classified below the line in our results. Our reported underwriting results were excellent as reflected by a combined ratio of 87.5% and were aided by low level of catastrophe losses and continue favorable loss reserve development. Net investment income per share was flattish for the quarter at a $0.55 per share which is down a penny sequentially from the fourth quarter of last year. Our operating cash flow was $16 million in the quarter as compared to $197 million in the same period last year and Mark will elaborate further on its components in a few minutes. Our investment portfolio performed well with a 205 basis point gain on a local currency basis and because of FX movements 111 basis points when measured in U.S. dollar Book value per common share at March 31, 2015 was $47.80 per share an increase of 4.9% sequentially while book value per share grew by 15.1% from March 31, 2014. With respect to capital management we continue to have capital in excess of our targeted levels and in the first quarter we repurchased 2.7 million shares for an aggregate purchase price of $163 million. We’ve increased M&A activity in the sector, we continue to evaluated opportunities such as acquisitions, business units, people and renewal rights transactions. We prefer to deploy our excess capital back into our business, but as of today these efforts have not come into fruition. Currently competitive conditions make profitable growth in our traditional lines of insurance and reinsurance difficult to achieve. The insurance segment gross return premium grew by 5% in the quarter over the same period of last year primarily as the result of the renewal rights agreement entered into last year in our alternative markets line and modest growth in our excess and surplus casualty lines associated with our contract binding business. Net written premium in our insurance segment was essentially flat in comparison with the same period a year ago as reductions in our professional lines energy and marine lines and determination of one of our programs offset our growth in all other lines. In the primary markets in which our insurance group participates we continue to obtain the rate increases in most lines of business at approximately the same level as we observe last quarter. Competitive conditions in the property sector have negatively affected primary property rates and accordingly our U.S. premium volume in those lines. In our reinsurance segment softening, pricing and continued pressure on terms and conditions led us to reduce reinsurance writing by 6% on gross written or 1.7% decline if it was expressed in local currency. The decline though in net written premium of 21.5% was influenced by sessions to Watford Re was formed in the last days of the first quarter of 2014 but also reflects increased purchases of retrocessional protection in an opportunistic way Our mortgage segment includes primary mortgage insurance written through Arch in the U.S. reinsurance treaties covering mortgage risk written globally as well as other risk sharing transactions mostly in the U.S. Gross written premium in the mortgage segment was $60.5 million for the first quarter of 2015 or a 26% increase compared to the first quarter of 2014 while net written premiums grew by nearly 20% over the same period to $51.9 million. Our U.S. mortgage operations acquired in late January of 2014 produced a little more than half of the segments net written premium in the first quarter with 24 million of net premium written emanating in the credit union channel while the bank channel produce 4 million in premium written for the quarter. As of March 31, 2015 we have approved more than 644 master policy applications from banks and more than a 190 of these banks have submitted loans for our approval. Of these master policies 37% represent national accounts and the balance is consisting of regional banks. Of the top mortgage originators for confirming mortgage sold to the GSC which mortgage insurance is usually brought. We now have approved master policies with each of the top 15 lenders and 21 of the top 25 and continue to make progress with the rest of the banking rules. Mortgage reinsurance premium written declined in the quarter as a new transaction agreed upon during the first quarter should begin to contribute to premiums written towards of next quarter. On the other hand, net earned premium rose 13% over the same period a year ago as earned premium on quarter share agreements written in prior periods usually produces a stream over a six to seven year period. We also continue to see opportunities in GSC risk sharing transactions which were primarily responsible for the 7.7 million of other underwriting income for the 2015 first quarter versus 800,000 in the same period of a year ago. Arch participated in 490 million of insured limits via Freddie type [ph] of transactions in the first quarter of 2015, no premium is reported for these transactions as current accounting treatment requires us to use derivative accounting. We expect risk sharing transactions issued by Freddie Mac to receive insurance accounting treatment on a perspective basis for all in force and also new transactions in the near future. While some of our business lines are seeing very competitive pricing conditions, Arch diversified mix of business and our willingness to exercise underwriting discipline should allow us to generate acceptable returns in the current competitive environment. Group wide on an expected basis, we believe the ROE on the business we underwrote this quarter will produce an underwriting ER written on equity in the range of 10% to 12%. Before I turn it over to Mark, I would like to discuss our PMLs. As usual I would like to point out that our CAT PML aggregates reflect business bound through April 1st, which the premium numbers included in our financial statements through March 31, and that the PMLs are reflected net of all reinsurance and retrocession. As of April 1st, 2015 our largest 250 year PMLs for a single event was essentially flat and it was in the Northeast at 550 million or 9% of common shareholder’s equity .Gulf of Mexico PML decreased to $495 million at April 1st and our Florida Tri-County PML decreased to $396million. I will now turn it over to Mark to comment further on our financial results and after his comments we will be happy to take your questions. So with that Mark, you have the floor.
Mark Lyons: Thank you, Dinos and good morning all. As was true on last quarter’s call, my comments that follow today are on a pure Arch basis which excludes the other segment that being Watford Re unless otherwise noted. Furthermore, since the accounting definition of the word consolidated includes the results of Watford, I will not be using that term but instead will be the using the work core to refer to our combined segments of insurance, reinsurance and mortgage. This permits an apples-to-apples comparison of Arch’s current results with prior periods. Okay, that being said the combined ratio for the year quarter was 87.5% with 0.6 points of current accident year cat related events, net of reinsurance and reinstatement premiums compared to the 2014 first quarter combined ratio of 84.6% which also reflected 0.6 points of cat related events. Losses recorded in the first quarter from 2015 events, net of recoverable and the reinstatement premiums totaled 4.6 million primarily emanating from our insurance exposures in Australia. The 2015 first quarter combined ratio reflected 7.8 points of prior year net favorable development net of reinsurance and related acquisition expenses compared to 9.5 points of prior period favorable with development on the same basis in the 2014 first quarter. This result in a current core accident quarter combined ratio excluding cats for the first quarter of 2015 of 94.7% compared to 93.5% for the comparable quarter in 2014. In the insurance segment, the 2015 accident quarter combined ratio excluding cats was 95.1% compared to an accident quarter combined ratio of 94.9% a year ago. The reinsurance segments, had similar accident quarter combined ratio excluding cats was 94% even compared to 92.6% in the comparable quarter last year. As noted in prior quarters, the reinsurance segments results reflect changes in the mix of premiums earned including a lower contribution from property catastrophe and other property business. The proportion of the reinsurance segments net written premiums that is property or property cat related dropped from 33.2% to 30.2% quarter-over-quarter but falls further to 24.7% when Gulf Re premiums are removed. As you may recall, Arch assumes a UPR and loss portfolio transfer and intercepted 90% quota-share treaty last quarter which resulted in the explicit recording or business from Gulf Re through our income statement. Previously Gulf underwriting results were recorded in other income under our 50% joint venture arrangements. Our expectation is that regulatory authorities will improve this acquisition in the second quarter of this year. The mortgage segment 2015 accident quarter combined ratio was 94.1% compared to 84.3% in the comparable quarter last year. This increase is predominantly driven by the substantial change in mix resulting from the January 2014 acquisition of our U.S. primary mortgage operations. The insurance segment accounts for roughly 13% of the total net favorable development this quarter and was primarily driven by shorter tailed lines from the 2010 to 2013 accident years. The reinsurance segment accounts for approximately 84% of the total net favorable development this quarter, also excluding associated impacts on acquisition expenses with approximately two thirds of that due to net favorable development on short-tailed lines concentrated in the more recent underwriting years and the balance due to net favorable development emanating from all years but primarily from the 2003 through 2010 underwriting years. Some of the prior quarters approximately 67% of our core 7.2 billion of total net reserves for loss and loss adjustment expenses are IBNR as additional case reserves, which remains fairly consistent across both the reinsurance and insurance segments. The core expense ratio for the first quarter of this year was 34.5% versus the prior year’s comparative quarter expense ratio of 33.9% driven by an increase in the operating expense ratio of 2.2 points partially offset by a decrease in the net acquisition expense ratio of 1.6 points This increase in the operating expense ratio component reflects mostly a decrease in net earned premiums and also continues to reflect the addition of our U.S. mortgage insurance operations which is operating at a higher expense ratio till that business reaches steady state. Moving to the segments. The insurance segment improved to a 32.1% expense ratio for the quarter compared to 33.1% a year ago primarily reflecting a lower net acquisition ratio driven mostly by improved seating commissions on quota share contract seated. The reinsurance segment expense ratio increased from 32.1% in the first quarter of 2014 to 33.8% this quarter, primarily due to a lower level of net earned premiums. The mortgage segments expense ratio will continue to be high until proper scale is attained as I had mentioned previously. The ratio of net premium to gross premium for our core operations in the quarter was 71.9% versus 79.7% a year ago. The insurance segment at a 70.7 ratio this quarter compared to 74.7% a year earlier. This lower ratio which implies increased reinsurance seated comes primarily from the second quarter of 2014 as part of renewal rates transaction that brought more alternative markets capital business on the books. Absent this impact, the net to gross ratios are roughly flat quarter over quarter for the insurance group. In the reinsurance segment the net to gross ratio was 71.8% this quarter compared to 85.9% a year earlier, primarily reflecting increased property and property cat retro sessions and increased sessions to Watford Re as a reinsurer Shifting gears, our U.S. insurance operations achieved a 2% even effective renewal rate increase this quarter net of reinsurance. As commented on last quarter, the pricing environment is quite different for short-tailed lines versus long-tailed lines. Our short-tailed lines of business had an effective 4.5% renewal rate decrease for the quarter compared to a 3.5% effective renewal rate increase for the longer-tailed lines both on the net of reinsurance basis. Rate increases on these longer-tailed lines continue to be above our view of weighted loss trends. Looking more deeply some lines incurred rate reductions such as an 8.5% rate reduction in property lines and 3% in our high capacity D&L lines while others enjoyed healthy increases such as a 9% increase in our captive [ph] agents businesses and 8% increase in our lower capacity D&L line, 7% in accident and health and 6% increases in our high access workers compensation business. Also certain lines continued their achievement of strong cumulative rate increases. For example, our lower capacity D&L lines have now achieved 15 consecutive quarters of rate increases and have in fact secured double digit rate increase for two thirds of those 15 consecutive quarters. The mortgage segment posted 88.5% combined ratio for the calendar quarter. The expense ratio is expected, continues to be high on the operating ratio related to our U.S. primary operation and will remain elevated until that prementioned proper scale is achieved. The net written premium of 51.9 million is driven by the 27.9 million from our U.S. primary operation and 24 million even at net written premium from our reinsurance mortgage operations as Dinos mentioned which also includes the 100% assumed quota share of PMIs 2009 to 2011 underwriting years as part of the acquisition of the CMG companies and the PMI platform. As Dinos also has mentioned this segment had 7.7 million of other underwriting income for the quarter versus approximately 800,000 in the first quarter of 2014. This change was primarily due to an increase in the risk sharing transactions which are triggered as derivatives and mark to market each period. This quarter included approximately 3.5 million of catch up income as a consequences of the timings of when GSCs intercept the insurance product versus the corresponding capital market security. At March 31st, 2015, our risk enforce of 10.6 billion includes 5.7 billion from our U.S. mortgage insurance operations, 4.2 billion to world-wide reinsurance operations and 619 million through the risk-sharing transactions. Our primary U.S. mortgage operation down 1.8 billion of new insurance written during the quarter, which represents the aggregate of original principle balances of old loans receiving new coverage during the quarter. The weighted average score for the U.S. primary portfolio remains strong at 734 and weighted average loan to value ratio held steady at 93.3%. No states risk enforce represents more than 10% of the portfolio and our U.S. primary mortgage insurance company is operating at an estimated 9.3 to 1 risk to capital ratio as of the end of the quarter. The other segment i.e. Watford Re reported 100.3% combined ratio for the quarter, or nearly 125 million of net written premiums and 72 million of net earned premiums. As a reminder, these premiums reflect 100% of the business assumed rather than simply Arch’s approximate 11% common share addressed. The total return of our investment portfolio was a reported positive 111 bps in the first quarter primarily reflecting positive returns in our equity, and non investment grade fixed income sectors partially offset by the strengthening U.S. dollar on most of our foreign denominated investments. Excluding foreign exchange total return was a positive 205 bps for the quarter. Approximately 90% of invested assets are on U.S. denominated investments as of 3/31 2015. As Dinos mentioned the impact of the strengthening U.S. dollar on our net written premiums was a reduction of approximately 32 million which was – 23 million affecting our reinsurance segment and 9 million affecting our insurance operations. The foreign exchange impact on other components of operating income was not material. Our embedded pre-tax book yield before expenses was 2.21% as the end of the quarter compared to 2.18% as of the year end while the duration of the portfolio remained virtually flat at 3.35 years. The current duration continues to reflect our conservative position on interest rate in this current yield environment. Reported net investment income this quarter was $70.3 million or $0.55 per share versus $72.6 million or $0.56 per share last quarter and $67 million or $0.49 per share in the corresponding first quarter of 2014. As always, we’re evaluating investment performance on a total return basis and not merely by the geography of net investment income. Cash flow from operations on a consolidated basis including the other [ph] segment was materially lower than prior quarters as Dinos mentioned specifically 57% lower than the corresponding first quarter of 2014. This was caused by several factors, the most significant of which are one, reduced premium inflows net of commissions, two, increased reinsurance cessions and the ceding commissions, where appropriate, an increase in the cash outflows is sure it was net paid losses which includes payments on deductible and capital losses as well as some unusual large claims and fourth, an increase in the operating expenses including bonuses, U.S. mortgage expenses and some non-recurring expenses associated with certain business opportunities. This quarter’s level of operating cash flow however should not be viewed as a new run rate due to the timing issues and non recurring impacts. Our effective tax rate on pre-tax operating income available to Arch shareholders for the first quarter of this year was an expense of 3.9% compared to an expense of 1.7% in the first quarter 2014. Fluctuations and the effective tax rate can result from variability in the relative mix of income or loss projected by jurisdiction. Our total capital was 7.19 billion at the end of the quarter, up 2.3% relative to the prior year end. During this quarter, we purchased 2.7 million in shares at an aggregate cost of 163 million. These repurchases represent a multiple of 1.28X of the quarter’s average book value and had the effective reducing quarter ending book value per share by $0.26. On the other hand, the effective foreign exchange on book value was a gain of approximately $0.25 per share as the benefit of restating insurance and reinsurance liabilities outstripped the decline in non-U.S. denominated investments. Out debt-to-capital remains low at 12.5% and debt plus hybrids represents only 7% of our total capital which continues to give us significant financial flexibility. As Dinos mentioned, we continue to estimate having capital excess above our targeted position and additionally 724 million remains under our existing buyback authorization as at the end of the quarter. Book value per share is now $47.80 at the end of the quarter up 4.9% from year end and 15.1% relative to a year ago and this change in book value per share this quarter primarily reflects the continued strong underwriting performance and investment returns. So with these introductory comments, we are now pleased to take your questions
Operator: Thank you. [Operator Instructions] The first question comes from the line of Michael Nannizzi ,Goldman Sachs.
Michael Nannizzi: Thank you, thanks for that. Just one question -- a couple questions I had. One was on the decline in CAT premiums in the Reinsurance segment. I was a little surprised that the underlying didn't change more, just given I expect that business probably booked at a lower loss ratio. Were there other --? I'm sure there are other mix issues that are impacting the underlying measures, so I just wanted to get some context on that if I could. Thanks.
Dinos Iordanou: Well first our approach to the cat business was to maintain as much of that business with a client base. So in essence we committed to the client with purchases and then we looked at the risk characteristics of that portfolio and where we felt it was advantageous for us to buy retro sectional color to protect our book we choose to do so. So that was the approach for the quarter. We believe that some segments of the cat business is still depending on what part of the curve you are is profitable at very good levels meaning mid teens ROEs and then on some other parts of the curve, they might be in the mid single digits which in our view we don’t want to end the right cap business with an expected return of mid single digits. So that in essence being our approach, Mark I don’t want – do you want to add anything else to that.
Mark Lyons: Yes. Sure. I’ll just add that and you – and the way you phrased your question you kind of answered it. This clearly is mix difference beyond the pure CAT aspect that Dinos mentioned. And then example of that would be – we seldom talk about it other than the fabulous result is the facultative group, which add fabulous results for the quarter, but not quite as fabulous as the prior quarter. So, you get little bit of mix differences and in the case of property businesses the combined ratios can move. As far as longer and medium tailed businesses the combined ratios associated those are consistent with what you’d expect in the declining market. You’re inching up higher and this is simply a mix, the cost of the quarter there was up to be with this.
Michael Nannizzi: Got it. And then, should we think about in terms of like the capital intensiveness of your business declining as you continue to maybe mix away from more capital intensive business in reinsurance. Did that have an impact on your appetite for buybacks in the quarter or maybe the amount of capital that you’re willing to allocate to those sort of activities?
Dinos Iordanou: Yes. There’s a more fact that usually, historically I would say that in the third quarter we refrain of buying back shares even when we have big buyback programs on the basis that it’s the CAT season and when we were committing 20% or 21% or 22% of our equity capital to a single event – a singly – 250-year, a single event, that is changing and as you saw with the numbers we have reported we’re in the sub 10% of capital in any one zone. And for that reason I think buyback opportunities are not going to limited to the second quarter but also in my view in the third quarter, because the cat PML aggressions we have and the excess capital that I have -- we have in the company there are such that I don’t worry too much about unusual event that it will cause us significant harm during the third quarter.
Michael Nannizzi: Great, thank you. And then just one quick one, just in terms of thinking about Watford and the reinsurance business, I mean, should we be thinking that your gross premiums might stick around where they are, but that we'll see just the cessions line just increase as you sort of toggle the premiums between those two segments? Is that how we should be thinking about it, or just if reinsurance market conditions continue, should we expect to see gross premiums decline as well? And, thank you for all your answers
Mark Lyons: Mike, good question. It is a difficult one to answer because it is the vagaries of the marketplace that drives that as to what we might balance [ph] and what might be natively written on Watford paper versus written by our Arch, Arch Re, Arch Insurance and ceded. So it’s really hard to say, what that direction might be. Just like a similar comment on any one of our units, that it’s hard to predict that. So I really prefer to not give a strong direction of response on that. But all I can tell that we’re continued to be really happy with the flow, the kind of business that we’re seeing and the sources of that business.
Dinos Iordanou: It’s hard to predict the future. I don’t know where the market is going to go. At the end of the day every single reinsurance transaction we do is based on the written characteristics. If it fits for Arch first, that’s our priority. We put it on our paper and we retain the risk and if it doesn’t, but because of additional potential investment return in Watford, its fits their model then we will put it there. And that’s the guiding principles that we have and we have been operating since the formation of Watford, and that will not change. So, trying to predict where the market is going to be is a dangerous – it’s a dangerous proposition. I don’t know where the reinsurance will be six months or year from today. My instructions to our troops and I think we got great underwriters, all you’ve got to do is look at their performance over the last 10, 12 years is behave prudently in the market that has been given to you and make the prudent underwriting decisions and don’t focus just on volume, just focus on return. And that’s our guiding principles.
Michael Nannizzi: Great. Thank you so much for the answer.
Dinos Iordanou: You’re welcome.
Operator: The next question comes from Amit Kumar of Macquarie.
Amit Kumar: Good morning and congrats on the quarter. Just a few questions on the MI segment. The first question on the discussion on the staggered program, clearly that’s a meaningful number this quarter. How should we think about that opportunity I guess going forward?
Dinos Iordanou: I’ll make three points and I’ll turn it over to Mark. He knows the numbers better than I do, but well as well.
Mark Lyons: Time will tell.
Dinos Iordanou: Its lumpy business, however the incentives for both Fannie and Freddie have been increased. Their targeted amounts have been increase as I think we talked in the last quarter significantly by 50%. Last year the GSCs, they had a target of $90 billion each. This year’s its target is $150 billion for Fannie and $120 billion for Freddie, which we believe they’re going to reach, as they reach their goals last year. So in essence they’re going to be more in the marketplace. Of course, they can use the cash market, the bond market or they can use their reinsurance MI market for those transactions. We were the innovators of these stacked transactions. The first one we did it was a combination of effort between us and Freddie Mac and their incentive is to put more and more of that business into different sources of private capital pools including the reinsurance market. So it’s going to be lumpy. We don’t know how many of these opportunities that are going to be there, that they’re going to come away. But we believe there going to be at an increase level from a year ago. And depending on pricing, we will continue to participate and that’s the best I can tell you, because we’re not magicians. But we can’t predict the future. But we feel confident that stacked transactions or stacked-like transactions will be more in 2015 that they were in 2014.
Amit Kumar: Got it.
Mark Lyons: Yes. I’ll just add to that, because I think you’re trying to add some of the mechanics of it is as there’s the capital market securities and then there’s the insurance fee and the capital market as I’ve alluded to in my prepared remarks. The capital market incept quicker and the corresponding insurance transaction tend to get bound three to nine months later, so it has build-in delay, yet the GSC still want to incept identically and concurrently with the capital markets product. So once we bind we may have three months, six months or whatever of catch-up premium that we have to book. So any given quarter could have some components of catch-up given that we continue to have a stream of these staggered transactions for Dinos’s comment. The other way you should think about it is think about the notional loans that make these traunches up, just like a subject based on the treaty. You have the rates that applies to it. However this subject base declines over time. So each of these stacked deal have a 10-year maximum but the average life is probably closer to seven to eight years. But you have a declining pace to which these monthly rates are applicable and a decline basically through prepayments, people moving, refis, here are the normal reasons why these things would roll off. So that mechanically I think that’s how you have to think about.
Dinos Iordanou: And to make your life little more difficult for your modeling, right now all this is accounted as derivatives that’s the $7.7 million that we talked about in other income, but we’re hoping soon they’re going to be converted to insurance accounting, so you going to have maybe a little more clarity, because we’ll reporting premiums, but we don’t know exactly when that is going to happen, and is going to done one a perspective basis [Indiscernible] but also for existing ones. Because don’t forget everything we bound last year or this year it will still have a life of six, seven years into the future. So, it would get a little more complicated and I feel bad for your models but eventually you’re going to get it, when we get it.
Amit Kumar: Life is complicated. Just one more question and I’ll take the rest offline. If I look at the loss ratio for the MI segment and if I compare that with some of the other I guess non-legacy MI player what the guidance they give and your presentation from March, is there a loss ratio running higher because it just shows the level of conservatism or is there more to it?
Mark Lyons: Well, your reference point, well, our loss was in mid 20s. But underneath that that continues to have improvement on our -- basically our relative delinquency percentages and things like that that continues to drop. But remember, you’ve got other things going now. We are reporting a segment total. So we are seeing an U.S. MI decline, but you also have any readjustments associated with our reinsurance divisions, reinsurance mortgage transactions that’s come through. In prior quarter we had I think some revaluations favorably on an insurance contracts, in this win, made -- one big deal maybe have gone the other way. You’re going to get little bit in the ways, but I think the key core of your question is that you’re continuing to see improvements in the delinquency and claims in the U.S. MI book and the answer is yes.
Dinos Iordanou: And when you compare those numbers with the other public numbers from the U.S. MI we are as good as even slightly better than that. However when you get into the reinsurance sector we have a little more flexibility on the reserving side to be conservative and I rather do that than be very aggressive on those ratios because at the end of the day early on an any business and depending if it’s the P&C business or the MI business, [Indiscernible] is a self-grading exam and your real exam comes when the real results come. So, that’s been our approach in everything we do and if I have the opportunity to be a big conservative, I will take that opportunity than the alternative.
Amit Kumar: Got it. That is ours [ph] philosophy. Thank you so much.
Dinos Iordanou: Don’t forget we have excess capital. We’re not capital constraint, so in that sense we got a lot of flexibility there.
Amit Kumar: I’ll stop here. Thanks for the time.
Dinos Iordanou: You’re welcome.
Operator: The next question comes from Kai Pan from Morgan Stanley.
Kai Pan: Thank you, and first question is on the CATs. Do you have any potential exposure to the Nepal earthquake, that the Baltimore riots as well as some other large losses like Pemex [ph]?
Dinos Iordanou: I can ever say none, because I don’t know every contract we roll, but it’s minimal. My phone hasn’t rang and nobody whisper anything. And usually I’m the first to know.
Kai Pan: Okay. That’s great. Then on the insurance side you mentioned the casualty line pricing still outpacing loss cost trend. So but we haven’t seen that flowing through in your underlying combined ratio, just wondering are we going to see that in the near future?
Mark Lyons: Well, actually you have seen it. It depends on your time period over which you’re looking, but clearly the core ex-CAT actually and your combined ratio and loss ratio has improved. It been relative flat or move a couple of points here there from the corresponding quarter and that just make the noise.
Kai Pan: Okay. So you continue to see that, is there overall for the insurance second because what I see is really flattish, but you do expect that even the pricing in casualty lines?
Dinos Iordanou: Yes. You see you got to look at the components. When you’re losing 8% to 10% rate on property which is a low attrition -- loan loss ratio business. So that has to move on.
Kai Pan: Okay. So there’s
Dinos Iordanou: So if these are 45, you might go to 52 or 53 maybe 55. And then you get the improvement on the other. So when you do it as a mix you might be offsetting some of the gain, so maybe is not that visible to you, because you got to look at the mix. We’re reporting the numbers as we see them, we look at the segments. Some of their low loss ratio of business has been declining for us because rates that been actually decline significantly, but is not that we’re not trying to hold on to the business but we do. But that make also has to be taken into consideration to see if our casualty loss ratios have improve by more than a couple of points over the last I would say, six, seven quarters.
Kai Pan: Okay. That’s great. Then on MI. I just want to follow-up on that, as you say, at what premium level do you think you can reach to kind of I don’t want to call it steady state, but more reasonable to leverage your expense?
Mark Lyons: I don’t think about it in that fashion, I think we’re going to reach probably steady state in approximately three years because you do two things. One, you have a minimum fix expense value requires for you as you building up the business. But also depending if that business built fast or slowly you have the ability to also adjust your staffing as you go along. I would think we’d not going to be at a steady state on the MI business until probably the end of the 2017, so probably 2018 will be our first year that we’ll say hey this is our steady state number. So that’s the way I think about it and I think our people think about it about the same way. Having said that, internally we look at the profitability of the business as we do with everything that we do independent of sector to ultimate. If I’m making an underwriting decision today what is that going to mean for the shareholders, because their shareholders they are forever and that’s the way we view shareholders. We don’t view them, today they are with us and tomorrow they are going to trade and get out. I view every dollar of capital is given to me that I have to guard it, that it there forever and that’s the way we think and that’s the way we behave.
Kai Pan: That’s great. Lastly if I may, if you look at the Watford investment return over the last few quarters, have been about to 3%, 4% annualized run rate, I just wonder could you give a little bit more color on the portfolio allocation as well as that what kind of target of return you have in mind?
Dinos Iordanou: Well, portfolio is fixed income as we mentioned before. It’s a fixed income base portfolio and generally lower investment grade or some non-investment grade, and that hasn’t change. It’s more the function of the performance and what’s rebounded, really in this quarter. So, there’s really, Kai, no really change in the asset allocation to talk of.
Kai Pan: And do you any target return for that portfolio?
Mark Lyons: Well, it’s not us, we have a target return. I think Watford Highbridge have target returns. I believe but you got to check with them. I believe their target returns on an unlever basis. It will be in their probably 5% to 6% and then on a lever basis because they expect to put about 50% leverage on it, it will boost return to high single digit. So that’s their target returns for the time, don’t forget the building up and they’re trying to invest all the investable assets that they have they are getting very close to that. But I think these are questions for Watford and not us, we’re just the minority shareholder in that.
Kai Pan: Well, thank you so much for all the answers. Good luck.
Dinos Iordanou: Thank you.
Operator: The next question comes from Ryan Tunis of Credit Suisse
Ryan Tunis: Hey, thanks guys. I guess my first question is probably for Mark, and it's a little bit of that pesky accounting one, just on understanding these stagger deals, but I just trying to think of how to think of the normalized run rate here on the 7-7. I mean, should we think about it -- if you guys don't write another deal in the second quarter would that stay kind of around here? Or, I think you mentioned $3 million of catch-up revenues; would it be $3 million less? Or would it be zero? I'm just kind of trying to understand how low these profitability
Dinos Iordanou: Well, again, without any forward looks and taking your assumption saying there’s nothing else written on a go forward basis what’s on the books. This said that around the number. The 7.5 million had 3.5 million of catch-up, so that’s 4 million and then you need to apply your own persistency exception of how fast those loans follow up. And that’s – you have to apply as the cases on that that your best way of doing it.
Dinos Iordanou: Okay. Let me give you a number and then you can do your decay factor yourself, right. All this staggered transactions we’ve done; they are pretty much last year, this year. They have $617 million of insure limit and our life time premium; it will be approximately $110 million, that’s the life time premium over the period. Now you can say it’s going to take six or seven or seven to eight years whatever. We believe that 2015 is approximately. We don’t do another transaction about 20 million, that will average about 5 million run rate a quarter, that will decline a bit if we don’t write any of it transactions in 2016 decline a little bit, in 2017 or until you get 11 million over the life time of contracts.
Mark Lyons: Yes, do you any clarification because that’s good view Dino that gave you but that’s an ultimate view or its nominal dollars. Secondly it’s ultimate. You who had asking a question on vagaries of timing, and timing of catch-up it’s hard to predict quarter by quarter by quarter. Dinos’s is right but it doesn’t address the timing of when they recognize.
Ryan Tunis: Okay. That’s helpful, I guess kind of seeing on a GSC deals, it sounds little more I guess higher level, but I guess up until now I think I’ve either you guys have said it, I read it some it, 70% of the capacity has been I guess capital markets driven. You guys have a view maybe looking at over the next two or three years. How much of that comes to the MI side as oppose to capital markets?
Dinos Iordanou: WE don’t that. I think that’s a question for Fannie Mae and Freddie Mac. Actually in 2014 it was 80/20 it was only on the first quarter of 2015 that it was 70/30, they determine that and they – and that’s why it so hard to predict. They view I believe they view their reinsurance plays as more of a steady capital. We have a view that capital market is having a limited capacity, but that capacity it can difficult, it can be price very high at some points and very low at some other point. So it will depend on the pricing. They test the capital markets for us. They see what they can get from there they test the insurance and reinsurance market what they can get from there and they make those determinations. But they do have an incentive to broaden the base of private capital willing to take credit risk so they can de-risk pools significantly so they can go back to Congress and say we have the risk the entire portfolio, so the tax payer is only taking the very end tail risk, the black swan scenario, which I think is a good thing. It allows private market to price it and take the risk and nobody has the unlimited capacity to take unlimited risk. Only the government can do that. But that’s the very end and the tail even that none of us has the ability to do.
Ryan Tunis: Got it. And then I guess just quickly, my last one on the MI business, it looked like half of the NIW, it sounds like, didn't come from credit unions. I'm assuming it came from banks. I'm just interested, I guess, in kind of the breakout of that NIW, how much of that maybe came from your top five-type banks, how much of that came from some of the other nationals and some of -- and how much of it then came from the smaller guys. I don't know if you can give me that level of granularity but I'd be interested in that?
Dinos Iordanou: I don’t have it in front of me that granularity maybe one we have – I think we have our Investor Day coming up in June 8th and probably we’ll – I’ll make a note and then we’ll have a little more granularity to share with you. Usually we don’t try to focus. At this level of our development to specific originators we’re trying to get as broad as we can and sign as many of these originators and as you saw we’re pretty happy with where we are, we have 15 of the top 16. I don’t know what that’s top 15 is, but it might be, maybe 60%, 70% of the market. Now the question is how does that flow? The fact that you have connected all the pipes and you have all the agreement it doesn’t mean that water flowing freely. It starts trickling in and then it accelerate because all these things have to – there is a lot of work that needs to done on getting the systems to work with each other and start getting the flow. But we’ll give you more of a color in our. We’re going to have our MI make people doing a presentation and then we’ll get into that granularity at that point in time.
Ryan Tunis: That’s helpful. Thanks so much guys.
Dinos Iordanou: Thank you.
Operator: The next question comes from Charles Sebaski of BMO Capital Markets.
Charles Sebaski: Good morning, afternoon, I guess it is now. I had a question in trying understand the ROE impact, the ceded business to Watford Re. So, we don't know exactly what it is but this quarter it seems like it's maybe $50 million of business ceded to Watford. And I assume that that's 10% ROE business like the rest of yours? But the income to you guys from Watford on the minority ownership and other fees and other stuff, how does that transition? How do you look at that? You go, okay, we transitioned $50 million of premium that's generating a 10% ROE -- how does that return from Watford look relatively? And does that free up capital?
Dinos Iordanou: You’re starting with the premise that is incorrect.
Charles Sebaski: Okay.
Dinos Iordanou: If the $50 million had a 10% ROE it will be on our books. Based on the investment returns we achieve. Don’t forget we have an A plus rating, it requires a different capital and also it requires through the rating agencies and regulators at different investment philosophy. Now that business for us would have been maybe mid single-digit ROE, by putting it into Watford, we’re boosting the ROE because that set of shareholders they’re willing to take more investment risk. And the way you got to think about it is that about it is that they have at least I would say 250, 300 basis points investment advantage over a traditional P&C operation, having that advantage on business that it has approximately 3.5 year duration and 70% is loss and loss adjustment expense you can do the math you compound 300 basis points for 3.5 years, for 70% of the premium and you’re writing seven, eight points of ROE on an after tax basis. So you take something that is in the 6, 7 and it becomes 14, 15. So that’s the way you got to think about it. Now, 5, 6, 7 is not acceptable to us, because first of all, it creates a lot of pension within our ranks. Our incentive compensation for our underwriter is based on as achieving a minimum of 8% ROE. If we don’t achieve that I think we run home with empty pockets, our wives that really upset about that. So at the end of the year there is culture here when we get to our underwriting that we got heat on an accepted basis certain target if we don’t hit it that’s when we go. Now to do the math we get – not utilizing our own capital we get. Well, 11% we get by utilizing our investment which is our own capital, but of course we get fees and we get profit commission through the backend, we just have created to our shareholders because there is not utilization of capital for that. I haven’t done the mark on 50 million, but if you want me to do it I can do it and I have done, give you the arithmetic, but you can probably do the arithmetic yourselves.
Charles Sebaski: That’s what I thought, I mean, regardless to the initial premise of 10% ROE being wrong and its mid-single digits, but when you see that conceptually whatever capital was supporting that to begin with is now free and clear, if it go on to capital management.
Dinos Iordanou: That’s correct.
Charles Sebaski: And the return that generated from 11% ownership is a magnitude higher relative to now that freed up capital, right, because…?
Dinos Iordanou: That’s the right way to think about it, yes. A - Mark Lyons Investment return, long term investment return leverage over a traditional insurer being realized.
Charles Sebaski: And so, then on that basis so in that construct how much business currently can you see to when you look at your book, if we look at this year I mean, what’s the potential obviously this changes in market pricing that can be seeded or is there a governor or a limit on in any given period how much business you can see to them?
Dinos Iordanou: Yes. There is limitation on the basis of their capital base. When we see business to them they collateralized it for us on the expectancy. So in essence there is limitations from their point of view as to how much they can write based on their capital base, independent if he is cessions from us for things they write directly into the market themselves. And of course how much capacity they have or neither LOCs nor other collateral they have to put up depending where the business is emanating. So, but we seems this is a new company then he has quite a bit of capital. They have in excess of cash [ph] in capital. They got a size 10 shoe and a size three foot right now. So there is plenty of room for the foot to grow into the shoe.
Charles Sebaski: And outside of your return dynamics in the reinsurance book of mid single-digit ROE profile, is that really the only limiting factor for you in ceding business there or it just sort of this business is below our return threshold outside of that there’s no other, hey, we’re not going to do more than this or there’s what other factors might be?
Dinos Iordanou: There is three scenarios here, okay. And I’ll give you the scenarios. Let me start with a premise. We have an obligation. It’s a contractual obligation as a matter of fact I think I don’t know, a dozen or more of our employees are actually dual employees. They are employed by us and also they’re employed by Watford. Their portion of their salaries paid for them for activities that they do on their behalf. Now business comes to us. We underwrite it and we decide that it fits the Watford model, we put it there. Business originates from Watford. They fill in the market and then they use those employees and then say hey we sourced this, we got these phone calls directly, underwrite this piece of business for us. That can take two paths. One path is the client he might be European client will accept the Watford paper or it might be a U.S. client or and they say, we want Arch to issue and reinsure back to you. So those are three scenarios that happened. In the first one we determine the ROEs based on what we’ve seen. It doesn’t fit our book. It fits theirs, we will put it there. In the other two scenarios we got an obligation to what the deals on their behalf we work the deals. And in some cases when I say kind we have a little piece of this because – and depending on how much of that deal they want to give us we might even take it at all. Don’t forget Arch takes 15% of those deals through the backend for underwriting consistency, so when I generate some activity for Watford that it was originated and it was Watford paper not only I have 11% ownership in the company, but also I take a 15% quota share through the backend. So it’s not – it’s hard for you guys to look at all the components and even our reporting with the other sector sometimes it might be getting a big confusing to you, but at the end of the day I’m trying to explain to you all the scenarios and those are the three scenarios usually that happen on a day-to-day basis.
Mark Lyons: The only thing that I would add is a different cut of it by a line of business as oppose to the flow of business, Dinos has talked about that. And it’s been more decision of upfront, not fund return characteristics as much as preservation of capital to not put a lot of CAT business in there because you could get unlucky and have a cash call early and you want that compound interest on a fixed income strategy to have your building to work in compound. So if you have a big cash call early, you hurt the ability for that to happen
Dinos Iordanou: And the longer the tail the better the advantage they have. So the construct of that book is not to feed it with a lot of short tail business, that’s not really where they have the advantage. The advantage is no longer tail lines. Low volatility, more predictable combined ratios longer tail. Hard to find, hard to do but that’s the premise.
Charles Sebaski: Thank you very much for the answers.
Dinos Iordanou: You’re welcome.
Operator: The next question from Meyer Shields – Meyer your line is now live. Meyer Shields of KBW.
Meyer Shields: Sorry about that. Hi, two quick questions if I can. First of all I guess the corporate or other expenses were down about 30% year-over-year. Is that sort of decrease sustainable?
Dinos Iordanou: What I can tell you on corporate expense we’re not – I don’t like overhead and I’m not adding to it so I would say they probably be steady. I haven’t really focused on the delta this quarter to see if it was significant or not but I can tell you we’re keeping a very lien holding company staff. Mark you have any more detail on that.
Mark Lyons: Yes, on corporate expense if we are characterizing it at the same way – it was down around 13% to 15% and it was mostly driven by reduction in stock option expense. So that depends on what people do and that effectively not allocate exercise and so forth. So, I would say we continue to look to push those down, but I wouldn’t go crazy expecting a compounded benefit every quarter.
Meyer Shields: Okay, that’s helpful. Does the opportunity exists none of their low premium volumes in the reinsurance segment to reduce the expenses there?
Dinos Iordanou: The expenses there in the MI bucket and that is a clean number. When internally we look at it, we have a different set of numbers but accounting requires you to report in a certain way so we report all the MI expenses under the MI sector and their other income comes clean of any expenses.
Meyer Shields: Perfect. Okay, thanks so much.
Dinos Iordanou: You’re welcome.
Operator: The next question comes from Jay Cohen, Bank of America Merrill Lynch.
Jay Cohen: Thank you. A couple of questions, I guess starting with the mortgage side. When the accounting -- if and when the accounting changes, for the staggered transactions, will the bottom-line impact be vastly different on a quarterly basis? If you're accounting as insurance versus derivative?
Dinos Iordanou: No, it should be just more a explosion of a single line into a lot of lines. Written premiums, earned premium expense, acquisition cost, loss reserves, aid [ph] losses, but bottom line it ain’t going to change anything.
Jay Cohen: Okay, that’s good to know. And I guess the other question, within the mortgage segment you do have these other operating expenses, kind of moving up as you build out that business, when did they start to level off?
Dinos Iordanou: We’re in a steady state now on dollar expenditure. Our marketing team is fully deployed, there is no significant positions for us to fill. So right now is just for them to go out and execute in the market place. But the build up after we have brought the assets from the CMG and the assets from PMI it was to create these marketing team that we have which is approximately give or take a few reps of about 60 people. And we have reached that level now; we have filled every single key position.
Mark Lyons: So I would just add to that. Spending on what you are looking at quarter over quarter you – at Jay. Quarter over quarter you got the distortion because the first quarter of 2014 was only two months, not three months which I think. But on the serial point of view the one of the tweak for what Dino says to all the sales people now on board is there is a split of the expenses of the U.S. MI staff that’s cat and net to us versus what goes back to PMI. And that changes as a function of the work that’s done. So the simplest to think of is and it varies by function, controller ship and IT and so forth, but is a claim function. As claim inventory liquidates on that finite set of claims the dollars associated with the claim function would shrink and therefore Arch as opposed to PMI would absorb those. So that mixture changes overtime and that’s the only other tweak I would make to Dino’s comment, right.
Dinos Iordanou: But with this based on activity we have the ability to manage that, right. But the activity from us managing the PMI run offs so to speak it will diminish over the next three, four, five years and now it’s a question, do we need all that personnel and if we do we’ll keep them because we are building our business versus allocating all that goes back to PMI.
Jay Cohen: Got it. Perfect. The last question was with Watford Arch earned some fees for running, helping run Watford where does it show up in your reported results?
Dinos Iordanou: There’s more than one place, but most of them at this points in an offset to acquisition.
Jay Cohen: Got it. Acquisition in your reinsurance segment?
Dinos Iordanou: Correct, yes.
Jay Cohen: [Indiscernible] M&A some of it was right.
Dinos Iordanou: It’s right.
Mark Lyons: And don’t forget Jay, profit culminations are not in that yet, right.
Jay Cohen: Right. Got it.
Dinos Iordanou: You got to see that quick in first.
Jay Cohen: Perfect. Thanks for the answers.
Dinos Iordanou: You are welcome.
Operator: The next question comes from Ian Gutterman of Balyasny.
Ian Gutterman: Dinos, I think the souvlaki is going to all be gone; this call has gone so long here.
Dinos Iordanou: No, no today on the menu is [Indiscernible]
Ian Gutterman: Okay. I hope we’ll have some others in June.
Dinos Iordanou: Yes you will.
Mark Lyons: See Ian, we all learnt something.
Ian Gutterman: So, I guess my first question is, the other specialty reinsurance has been declining at a fairly noticeable pace the past few quarters. Could you give a little color on what specific lines in there are shrinking and maybe even what's left that remains, that's a big part of that line at this point?
Dinos Iordanou: Well Mark, you want to handle that?
Mark Lyons: Well let me just pull this something, okay.
Dinos Iordanou: The one obvious place is property cap which – and then we reduce significantly on the more or quarter shares overseas that’s another area. And then it will give you more granularity Mark.
Mark Lyons: Because as we – I think our reinsurance group is good at finding opportunistic opportunities. And you get them they hit a quarterly statement and they are really not renewable. So you may recall we had conversations of some relatively large premiums a year ago this quarter that were opportunistic in nature and those didn’t repeat. So and that’s where all those specialities are. There was also a bit of a fall off in some accident and health business. But I think predominantly you can – besides what Dino said you focus in on these opportunistic transactions that were unique to the market place at that time.
Ian Gutterman: Perfect, I just want to make sure on that. With the decrease in the CAT exposure and the short-tail exposure, can you give us a sense of how much your CAT load has come down on a model basis?
Dinos Iordanou: Well pretty material as you might guess.
Mark Lyons: Ian, do the calculation I haven’t done it. But go to the old PMLs and do the division between the new PML and the old and that will give you and indication as to what the –
Ian Gutterman: Okay. And I was wondering whether that would work or not.
Dinos Iordanou: I would say right now if I would take a guess it will be around 40 million a quarter of thereabout so it will be about, I would say instead of 200 plus it might be about 160.
Ian Gutterman: Got it, okay thank you.
Dinos Iordanou: But then listen, this is back of the envelope. I’m pretty sure on the back of the envelope, but there is no precision in that number.
Ian Gutterman: No that’s okay, I was just trying to get the ballpark, okay.
Mark Lyons: Might be 159.
Ian Gutterman: Exactly, point two. The other thing I was wondering on PML is can you give us a sense of how different, how much your gross PMLs come down relative to your net PML meaning how much of the PML reduction is there are the increased retro buying versus actually cutting the gross?
Dinos Iordanou: Well the gross came down a little bit. It was maybe in the order of about 5%, 6% they are about and then most of the other reduction is reduced writings and also retro session of buying.
Ian Gutterman: Okay, got it. And then my last thing before letting you get to meet bowles [ph] is…
Dinos Iordanou: Well [Indiscernible] there is no mid bowles in Greek language.
Ian Gutterman: I know, I can’t pronounce that Dinos, I’m not as good; I don’t have that dialect down yet. Just as far as how to think about excess capital, right. I mean obviously with much of us cat you should be able to write it a different premium and the surplus than you used to, right. So how shall we – is there a good metric to think about rule of the thumb for how to evaluate excess capital?
Dinos Iordanou: There is no rule of thumb. We run the SMP model of course, if you riding those cat the allocation to the cat business from a capital point of view is less. We factor that in into our excess capital calculation and then we make decisions of that. I – listen I got a guy [Indiscernible] he’s got to do some work at some point of time. I got to ask him to do something. So he does a lot for us.
Ian Gutterman: I mean if I were to just look at sort of the capital charge for your PML how much has come down and then say that’s one part and then the other part would obviously be the – between earnings and return of capital. Is that a fair way to look at it essentially?
Dinos Iordanou: Yes it is and also you got to look at the mortgage as we deploy more capital. Even though in the mortgage we are over capitalized already, it’s going to take us another, I don’t know six quarters maybe even longer to fill the shoe so.
Ian Gutterman: Okay, I guess what I'm dancing around; maybe I'll ask a little bit more directly -- it seems like excess capital is getting to be maybe, I have to go back to some of the times when it was really high, but it may be getting in the upper quartile of where it has been historically.
Dinos Iordanou: It’s up there, yes. But from a rating agency perspective to your play. Pretty close to every dollar we have a reduction in – as a dollar to excess capital.
Ian Gutterman: Well that’s kind of what I am getting at, okay. All great thank you guys.
Operator: Thank you. You have no further questions. I would now like to turn the call over to Dinos for closing remark.
Dinos Iordanou: Well thank you all for listening and we are looking forward to the next quarter. Have a wonderful day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.